Operator: Welcome to the Retail Opportunity Investments 2015 Second Quarter Conference Call. Participants are currently in a listen-only mode. Following the Company’s prepared remarks the call will be opening for questions. Please note that certain matters discussed in this call today constitute forward-looking statements within the meaning of Federal Securities Laws. Although the Company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, the Company will give no assurance that these expectations will be achieved. Such forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause actual results to differ materially from the future results expressed or implied by such forward-looking statements and expectations. Information regarding such risks and factors is described in the Company's filings with the Securities and Exchange Commission, including its most recent Annual Report on Form 10-K. Participants are encouraged to refer to the Company's filings with the SEC regarding such risks and factors as well as for more information regarding the Company's financial and operational results. The Company's filings can be found on its Web site. Now I would like introduce Stuart Tanz, the Company's Chief Executive Officer.
Stuart Tanz: Thank you. Here with me today is Michael Haines, our Chief Financial Officer; and Rich Schoebel, our Chief Operating Officer. We are pleased to report that the company posted another very productive and successful quarter. We continue to capitalize on the strong fundamentals across our core West Coast markets to take our business to new heights, by continuing to broaden our portfolios through off market acquisitions and by enhancing value through a number of proactive leasing initiatives. Specifically with respect to acquisitions, we’re fully on track to achieve our stated objective of acquiring 300 million for the year. Thus far in 2015, we’ve acquired 193 million, beyond that we currently have another 85 million under contract that we expect to close in the third quarter, which will bring our total for the year to 278 million. Included in the 193 million is a terrific three property portfolio that we just completed a few days ago. The transaction is an excellent example of the value of having long standing relationships together with the value of operating in the same core markets for the past three decades. We’ve no miss seller [ph] for many years and when we started discussing this transaction, it began simply as a one property acquisition of a great grocery-anchored shopping center in the San Francisco market. The seller wanted a quick and easy closing. Given that we already knew the property well, along with knowing the market extremely well, we’re able to underwrite and fully commit to the acquisition in only a few short weeks. Having a relationship with the seller and being able to acuminate the request for a quick closing paved the way for us to pursue acquiring the other two additional grocery-anchored shopping centers from them in the Portland market. When it was all set and done in a short period of time, we identified, underwrote and closed on three terrific grocery-anchored shopping centers. Importantly, each of the properties are located in close proximity to a number of our existing shopping centers, which will enhance our operating and leasing synergies. Furthermore, the in place leases at these three properties are 25% to 30% below market on average, so there’s good upside potential going forward. In addition to acquiring these three properties as we discussed on our last earnings call, during the second quarter we acquired several key anchored spaces. One of which, at our Canyon Park shopping center in Seattle represented a great re-leasing opportunity. We’re pleased to report that soon after getting control of the space, we signed a new long-term lease with the leading organic grocery in the Pacific North West. The new grocery represents a significant event at our shopping center. When the grocer announced that they were opening a new store at our property and immediately generated a lot of buzz in the market place. In fact, our leasing team received numerous calls from competitors congratulating us on landing the premier grocer in the market and doing it so quickly. More importantly, we now have a number of great retailers lined [ph] for the remaining available space at the center. In addition to this lease transaction, we’re also pursuing a number of other re-leasing opportunities. With the ongoing extraordinary demand for space across our portfolio, we’re having great success in implementing a very aggressive game plan, paying off fence [ph] if you will such that 2015 thus far is shaping up to be a best most significant year yet on the leasing front. Rich will take you through the details in a minute, but first I’ll turn the call over to Michael Haines, our CFO to discuss our financial results. Mike?
Michael Haines: Thanks Stuart. For the three months ended June 30, 2015 the company had 46.2 million in total revenues and 13.8 million in GAAP operating income as compared to 36.9 million in total revenues and 9.7 million in GAAP operating income for the second quarter of 2014. On a same-center basis which includes all the shopping centers that we've owned since the second quarter of 2014 totaling 55 properties, net operating income on a cash basis increased by 4.4% for the second quarter of 2015 as compared to second quarter of last year. With respect to GAAP net income attributable to common stock holders for the second quarter of 2015 the company had GAAP net income of 5.2 million equating to $0.05 per diluted share as compared to GAAP net income of 5.8 million or $0.07 per diluted share for the second quarter of 2014. Included in the 2014 second quarter GAAP net income was a $3.3 million gain in connection with the property we sold during the second quarter of last year. In terms of funds from operations for the second quarter of 2015 FFO totaled 22.3 million as compared to FFO of 17 million for the second quarter of 2014. On a per share basis FFO increased to $0.23 per diluted share for the first quarter of 2015 representing 9.5% increase over FFO per diluted share for the second quarter of 2014. Turning to the company’s balance sheet, at June 30 the company had a total market capital of approximately 2.4 billion with 855 million of debt outstanding equating to a debt to total market cap ratio of 36%. With respect to the 855 million of debt, the vast majority of that is unsecured, in fact at quarter end we only had 76 millions of mortgage debt outstanding, representing less than 9% of our total debt, which is one of the lowest in the entire REIT industry. Additionally as we discussed on our last earnings call, we’re currently in the process of replacing our largest mortgage, a $48 million loan with a new smaller mortgage totaling approximately 36 million. So our secured debt amount will dropping even further and as a result of our secured debt dropping, together with the fact that all of our acquisition this year has been debt free, the amount of script [ph] footage on our portfolio that is unencumbered continues to grow. At June 30, 91.5% of our portfolio was unencumbered, which is a new high for the company. And once we complete the refinancing of the $48 million mortgage and closing the pending acquisitions, we expect the 91.5% number will increase to around 96% by the end of the third quarter. With respect to our EBITDA to interest expense ratio, for the second quarter the company’s interest coverage increased to 3.7 times. In terms of equity, thus far in 2015 we’ve secured approximately $26 million of common equity through a combination of utilizing our ATM program as well as utilizing operating partnership units in connection with one of our pending acquisitions. Looking ahead at the second half of 2015, we have several financing initiatives we’re currently pursuing. Although it’s too early talk specifics, our objective is to lower our credit line balance which stood at 286 million at June 30, as well as maintain a long standing prudent financial ratios and straight forward balance sheet. Now, I’ll turn the call over to Rich Schoebel, our COO to discuss property operations. Rich?
Rich Schoebel: Thanks, Mike. As Stuart indicated, we’re in the midst of a terrific year of leasing taking full advantage of the strong demand for space. As a result our occupancy continues to steadily climb as we’re moving through the year. In fact as of June 30, our portfolio was 97.3% leased, which is a 30 basis point increase over the first quarter, a 50 basis point increase from a year ago and represents a new second quarter high for the company. Breaking the 97.3% number down between anchor and non-anchor space, at June 30 our anchor space was 100% leased, representing a fourth consecutive quarter of maintaining our anchor space at 100%, which again is indicative of the strong demand for space across our portfolio as well as the benefits of having a strong growing presence in each of our core markets. In terms of shop space demand is very strong as well, being driven by an increasingly broad range of inline retailers seeking more space to accommodate their growing businesses. As a result, we increased our shop space occupancy during the quarter to a new high of 94% lease as of June 30, which is a 60 basis point increase over the first quarter and a 110 basis point increase from a year ago. With respect to the spread between occupied space and leased space, which includes newly signed tenants that will soon take occupancy and commence paying rent, you may recall at the end of the first quarter the spread was roughly 4.5% representing about 5.6 million in incremental annual based rent on a cash basis. We’re pleased to report that during the second quarter, tenants representing over $2 million in incremental revenue took occupancy and commenced paying rents. In terms of the current spread between occupied and leased, as of June 30 the spread stood at 3.8%. This takes into account not only those tenants that started paying rent in the second quarter, but also includes all the new leases we signed during the second quarter where these new tenants haven’t yet taken occupancy and commence paying rent. With these new leases included, the 3.8% spread represents about $5.5 million in incremental annual based rent on a cash basis. And that 5.5 million as well as the 2 million that started in the second quarter does not include the additional incremental cash flow from CAM recoveries or percentage rent going forward. Lastly with respect to the 2 million of incremental annual rent that commenced during the second quarter, the bulk of that started towards the end of the quarter. So as it relates to our same-center NOI growth the impact of our second quarter 4.4% growth was modest. The full impact will be reflected in the third quarter. Just simply taking into account what has commenced thus far, we’re already on track to achieve same-center NOI growth well above 4% in the third quarter. Turning to our leasing activity, during the second quarter we executed 93 leases totaling 243,000 square feet, achieving a strong 25.8% increase in same space comparative rents on a cash basis. Breaking that down, we executed 37 new leases totaling 147,000 square feet, achieving a same space comparative cash rent increase of 53.5%. And we executed 56 renewals totaling roughly 96,000 square feet, achieving a 10% increase in cash rents. Now, we’re standing our portfolio being virtually full at over 97% leased, we’re pursuing leasing with an aggressive occupancy led game plan as Stuart called it. We’re proactively seeking out every opportunity across our portfolio to recapture below market space often well ahead of scheduled expirations and making the absolute most out of the extraordinary tenant demand. Specifically with respect to anchor spaces, we currently have about 200,000 square feet of space where we’re in the process of recapturing below market leases. This 200,000 square feet represents potentially upward the $2 million of incremental annual rent above what the existing tenants are paying. Thus far we have already signed leases for about 75,000 square feet, which will generate approximately $900,000 of incremental rent once the new tenants take occupancy. And we’re in advanced discussions with numerous retailers for the balance of the space. Also, many of these existing anchor leases have been in place for a long time, well before we acquired the properties and most of those have fairly lose recovery structures, which as we re-lease those spaces, we’re now replacing them with our standard triple net structure. With respect to shop space leasing activity, as I mentioned, we’re continuing to capitalize on the growing trend of local and regional retailers expanding their businesses. Just to briefly give you a couple of examples, in our Southern California portfolio we recently captured a midsized below market shop space and relocated an existing smaller shop tenant into this space. The smaller shop tenant’s business has been performing very well and they were looking to expand into a new space about twice the size of their existing space. We were able to move them into the midsized space with no downtime and with a 27% increase rent over the previous tenant. And to give you another example, we recently recaptured a 14,000 square feet below market space and have now released about half of the space to an in line retailer that is an existing tenant at one of our other shopping centers, who is looking to expand their business by opening another store. Given our relationship and the fact that we have a strong presence in the market with multiple shopping centers, we’re able to seamlessly accommodate their expansion plans. Importantly, while the new tenant is only taking about half of the 14,000 square feet space, the new rent is nearly double what the previous tenant was paying on the entire space. And now we have several new shop retailers buying for the remaining space at much higher rent levels. Once the leasing is completed, the aggregate new rent will be nearly four times what the previous tenant was paying. And lastly at our Fallbrook property, we recently recaptured one of the below market pad spaces. We’re currently in the process of redeveloping the pad and are in discussions with several grave retailers who’ve been trying for some time now to get space at Fallbrook. Once we finish the redevelopment, we expect that just this one pad alone will generate over $0.5 million in incremental annual rent to the center and we’ve discussed before there are a number of other great value enhancement opportunities at Fallbrook that we intend to pursue going forward. In summary, these types of leasing, value enhancement initiatives are emblematic of what we’re pursuing across our portfolio. Now, I’ll turn the call back over to Stuart.
Stuart Tanz: Thanks, Rich. Before opening up the call for questions I would like to add a couple of additional insights as to what’s helping drive our success. First with respect to acquisitions, our ongoing ability to source attractive opportunities is not only a function of capitalizing on our off market sources and long standing relationships, it’s also a function of operating in multiple markets. In other words our off market acquisition opportunities have in flow [ph] differently in each market from one year to the next. But by actively seeking opportunities in multiple markets, we’re able to identify a much broader range of opportunities, which in turn enables us to be highly selective and disciplined in pursuing only the best transactions and consistently achieving our growth objectives year-after-year. As an example, in 2014 the bulk of our off market acquisition activity was primarily focused in Southern California, while thus far in 2015 the bulk of our activity has been focused in Northern California and now Portland. Second with respect to what continues to drive our strong leasing results is a combination of the economic trends which our co-markets continue to be among the best in the nation and just as important it’s the supply and demand fundamentals. New development continues to be very limited in the shopping center sector across our core markets. Additionally, the barriers to entry are substantial as the amount of land available for new development is very limited and the entitlement process is very time consuming and costly, all of which translates into our markets and shopping centers being very protected. As a result, demand for space continues to be very strong and as Rich indicated, we continue to work very hard to make the most of it to enhance the underlined value of our portfolio. With that in mind, looking ahead at the second half of 2015 and beyond, we continue to be very excited about the prospects of our business. Now, we’ll open the call for your questions. Operator?
Operator: [Operator Instructions] And our first question comes from Tammy Figue of Wells Fargo. Your line is open Tammy.
Stuart Tanz: Good morning, Tammy.
Tammy Figue: Good morning, how are you?
Stuart Tanz: I’m great, how are you?
Tammy Figue: Great, thank you. I’m just curious, you mentioned OP units on pending acquisition, I guess are you in a position to elaborate there on what you’re expecting in terms of the total. And then as you think about the OP units, I guess with today’s stock price, are you thinking about putting those in place at levels above where the stock price is today or how are you thinking about that?
Stuart Tanz: Sure. Well, the current transaction that we announced last quarter is being done at $17.25 a share, it’s about $16 million, $17 million of equity. In terms of using them going forward, absolutely we - when I say absolutely, obviously we have - this is not the first time we’ve used our currency in terms of buying very high quality assets on the West Coast, but more importantly every time we’ve done a transaction it’s been to a premium as to where our stock is traded. So we will continue to look at the structure and continue doing more OP units, being very selective and disciplined as always, but more importantly at a premium to where our last deal was done which was $17.25.
Tammy Figue: Okay and then maybe just keeping on with the equity, there’s obviously still some equity issuance embedded in guidance for the year. I guess can you just talk about timing there?
Michael Haines: We can’t really give specifics on timing, but as I mentioned we’re currently exploring several different financing strategies both on the debt and equity fronts, but it’s too early to talk any specifics right now.
Tammy Figue: Okay and then I noticed that you had an uptick in G&A in the quarter, I guess can you talk about what that’s related to?
Michael Haines: Yeah, thanks. The increase in our G&A was primarily a result of adjustments in compensation related expenses, but looking ahead we expect that our G&A for the full year will be in the $13 million to $13.5 million range.
Tammy Figue: Okay and then maybe just one more Rich, you mentioned opportunities that you are seeing at Fallbrook. I’m just sort of curious where you see the opportunities there? Is that through expansion? Or is there some redevelopment potential? Could you just talk about that?
Stuart Tanz: Sure. Primarily we’ve got this project we’re working on there with the pad and then beyond that we’re also working on a couple of initiatives for multi-family development, which is progressing nicely, but very preliminary at this point. So we’re interfacing with this regarding the possibility of developing one of the parcels for multi-family and our strategy would be to ground lease the parcel to the multi-family developer. So we wouldn’t be taking on any development risk. So we’re nearly stages. It’s encouraging thus far, but it’s too really to really discuss the definitive time line.
Tammy Figue: Okay and then maybe just one last one on dispositions. You talked about previously monetizing some of your assets, but obviously your activity has been light thus far. I guess, should we be expecting disposition activity in the second half?
Stuart Tanz: Yes. We’ve planned to put one noncore property on the market in the third quarter and we expect to generate around $15 million in proceeds.
Tammy Figue: Okay, great, thank you very much.
Stuart Tanz: Thank you.
Michael Haines: Thanks.
Operator: Our next question comes from Michael Gorman of Cowen Group. Your line is open, Michael.
Stuart Tanz: Good morning, Michael.
Michael Gorman: Good morning, Stuart, how are you?
Stuart Tanz: Good and you?
Michael Gorman: I’m doing well. Thanks. Mike, if we just go back to the financing question for a second and it’s a little too early to get into specifics, but can you maybe talk about what you guys are seeing in the unsecured markets right now in terms of the kind of rates you think you would be able to achieve on a ten-year issuance?
Michael Haines: Sure. As far as pricing goes, with the current volatility and with the market kind of changing every day, it’s a little hard to say, but for a ten-year bond deal, it’s probably - for us it’s probably somewhere in the 200 to 220 basis point range over the ten-year treasury.
Michael Gorman: Okay, got you. And with that, I mean, would you expect any changes in kind of covenant packages from previous unsecured issuances? Or would they be pretty similar?
Michael Haines: I would expect them to be similar.
Michael Gorman: Okay. And then, Stuart, going back to the acquisition environment, can you maybe talk a little bit more about what you guys are seeing from competition in the marketplace, recognizing the mostly market deals kind of what you are seeing on the marketed side in terms of how people are underwriting the assets and then kind of what’s motivating the sellers at this point, the cycle to kind of liquidate these assets?
Stuart Tanz: The sellers in terms of motivation, is the fear that maybe interest rates will be going up and that may have an impact on value. I don’t believe that’s going to happen in our core markets given that there has been no supply and the overall demand is very strong in terms of leasing. Underwriting, in terms of underwriting, certainly we are underwriting our assets today as disciplined as we did five years ago when we started growing this company. I think what people have changed today is that a lot of people are looking to base valuations on NOI coming out of ‘16 versus ‘15, so they are making you want to pay a bit more for income that’s not yet in place. However, that’s not how we are buying. We’re buying on what we are getting the day we close. So that’s really what’s changed from an underwriting perspective in my view and, Mike, I don’t know if you want to comment on the financing side in underwriting, but I think that the discipline that has been in the market from a underwriting perspective as far as debt is concerned, it’s still there today. I don’t think that’s changed much. I don’t know, Mike, if you want to add to that.
Michael Haines: You pretty much covered a lot I think.
Stuart Tanz: Yeah, so that’s our quick take, Mike.
Michael Gorman: Great, great and then just one last question, I guess, maybe for Rich on the 200,000 square feet of conversations on the anchor spaces, is that primarily coming out of some of the ‘16 expirations? Or are they coming from even further out? And then kind of what are those conversations? I mean are they looking for termination payments from your side? Or kind of what are the inducements to recapture some of the space?
Rich Schoebel: Sure, yeah, I mean, some are near-term expirations and some are a little bit further out and it’s really a mixed bag. We have situations where we’re going to be receiving a termination fee. We have other situations where it’s just for gaining a termination right, so that we can just let the tenant go and put in a much better retailer at higher rents. And in some circumstances we are paying a termination fee similar to what we did up in Canyon Park during the quarter.
Stuart Tanz: So very exciting part of our game plan I would tell you because there is a lot of increment. I don’t know why that’s been created that will probably fold in ‘16 and will help carry our strong same-store growth, not only through ‘15 but into ‘16 at this point. So we’re very excited about this and we’re making - we’re moving through this process quite quickly at this point.
Michael Gorman: Yeah, those are pretty eye-popping anchor spreads. Okay, great, thanks guys.
Stuart Tanz: Thank you.
Operator: And our next question comes from Collin Mings of Raymond James. Your line is open.
Collin Mings: Hey, good morning guys.
Stuart Tanz: Good morning.
Collin Mings: I guess, just first, it goes back to the potential capital markets activity. May be Mike, can you remind us just given the liquidity in your stock, what’s reasonable to think you could raise through the ATM in any given quarter?
Michael Haines: We have a $100 million program in place, we only tapped about 10 million in the first quarter when the stock price was much higher. It just depends on our daily trading volume and where the stock price is trading. In terms of what price we’d sell equity from our perspective, today we look at several things. We look at our consensus NAV, which is currently between $16 and $17. So we also carefully look at our implied cap rate versus where we’re acquiring properties. So the current stock price, the implied cap rate is between 5.5% and 6% which is roughly our average cap rate is. As Stuart discussed in the stock [indiscernible] we’re acquiring a number of near term opportunities to increase that are going to yield.
Stuart Tanz: So I would say probably 10 million to 15 million on the ATM, or maybe more, I mean, it’s just - will happen flow depending on demand more than anything else.
Michael Haines: Yeah, the stock pricing also are in acquisition pays.
Stuart Tanz: Yeah.
Michael Haines: The Acquisitions paid for earlier and they were more - ended up more in the third quarter, so it’s just a timing issue in that respect.
Collin Mings: Okay, now that’s very helpful. Thank you. Then just going back to the conversation as it relates to the pricing power with tenants, I mean just curious can you give us a little bit more color just given how much you are trying to push rents and kind of current occupancy costs in your markets, can you just maybe talk a little bit, more about that, Stuart?
Stuart Tanz: Sure. Rich, do you want to comment on rents?
Rich Schoebel: Yeah, I mean, I think it’s - we are seeing really strong rents. I think you see that in the numbers. The renewals are very strong. I don’t think we’ve had any renewal that’s been for less rent. And there are these opportunities out there with near-term expirations and ones that are further out. We are able to get into these spaces and really do some pretty impressive things as you saw up in Bothell, Washington.
Stuart Tanz: And the only thing I would like to add to that, which I’ve talked about a lot over the last several years is the higher occupied the portfolio is the higher you can push rents. So a well occupied portfolio has the power of pushing rents a lot higher than a portfolio that is less occupied. Occupancy costs continue to trend down across the board for our tenants. Obviously I can - excuse me, occupancy costs, I’m thinking of occupancy costs as it relates to sales.
Rich Schoebel: Yeah, those are trending down. If you are talking about the operating costs at the property level, we are starting to see some synergies as the portfolio grows where we are able to negotiate harder with the vendors to keep those costs down. But as Stuart said, as a percentage of sales, our sales continue to trend up, that percentage is going down.
Collin Mings: Okay, that’s helpful. And just one last one from me, I think in the prepared remarks you talked a little bit as far as on the portfolio, one thing that attracted you to pad portfolio was the ability of where you have a lot of kind of below market rate rents right now. Can you just talk about maybe the time line as far as the lease expirations schedule, what you bought and kind of how we should think about the potential ramp and kind of the incremental yield you are going to be getting from that portfolio?
Michael Haines: Sure. I mean obviously there is some vacancy to lease up with one of the properties which we are already in active discussions with tenants that want to expand in the market. Our leasing team up there is hard at work at that. And then capturing the rents in the in-place leases is really going to be a function of - as they roll. At those two specific properties, there is no specific initiative to recapture any specific space.
Stuart Tanz: But as always, that yield should go up 75 to 100 basis points over the next 12 to 24 months.
Collin Mings: Okay, great. Thanks, guys.
Stuart Tanz: Thank you.
Operator: Your next question comes from Paul Morgan of Canaccord. Your line is open Paul.
Stuart Tanz: Good morning, Paul.
Paul Morgan: Good morning. Stuart, maybe if you could talk a little bit about what your pipeline looks like? Are there with the opportunities there in terms of deals that - additional deals that might close before year end, say, and whether there’s any shifts in the market composition, you talked about how this year has been more active in Northern California - how are you seeing things in other markets as well.
Stuart Tanz: Sure, I mean we’re currently pursuing a number of attractive opportunities across our markets and our pipeline is always evolving and therefore hard to give real specifics, Paul, until the property is under contract. As you heard in my remarks, we’ve been very active in Northern California apartment so far this year but that can change in overnight. So I mean we continue as you heard in my remarks to look at all opportunities across our markets and as it relates to the pipeline today, it is extremely strong. There are some very compelling opportunities ahead of us as it relates to continue to grow our portfolio smartly.
Paul Morgan: Okay, thanks. And then just I mean maybe with a year or so ago where you talked about how the strength that had been present on the demand side in Northern California and Seattle had migrated down to LA, I mean do you have any updates in terms of the market color, I mean it’s the retailer demand now just why it’s been consistent across all your markets or are you seeing any kind of variation?
Stuart Tanz: Sure. Well, as always, Seattle and the Bay Area continue to be very, very, very strong. But the one market that has really jumped that has really showed a lot of strength is Portland, our Portland portfolio, I don’t have the exact number in front of me, we probably gained as much as 300 to 400 basis points in occupancy in that portfolio over the last six months. That portfolio and that market continues to really show in my humble opinion more strength today than we’ve seen in the past and it’s beginning to look like Seattle and the Bay Area. Southern California continues to gain a stronger every day. We haven’t seen as - we haven’t seen the southern California market a strong like as Portland in terms of the amount of absorption demand [indiscernible] time but the market continues to get stronger and stronger and stronger on a daily basis. We’re very fortunate because all four of our markets right now are just humming and as Rich articulated we really haven’t seen the fundamentals the strong and a long period of time. We’re very fortunate.
Paul Morgan: Great and then just lastly I mean if you look at the deals that you are closing in the third quarter, are there any - I mean is there anything in terms of capital plan that you are looking to renovate, repress, or are there opportunities for ads or expansions or anything like that or is it just more kind of blocking [indiscernible]?
Stuart Tanz: Well, there is always the opportunity as we do every day in terms of building value and analyze for re-leasing the initiatives. But the only thing one that I can think of that I can’t really articulate today, but it’s out there is in Danville, there is the ability to go vertical and we have looked at that and we will continue to study that, but that may be some upside that we haven’t yet quantified as it relates to closing that transaction.
Paul Morgan: Okay, great, thanks.
Operator: And our next question comes from Todd Thomas of KeyBanc Capital Markets.
Stuart Tanz: Good morning, Todd.
Todd Thomas: Hi, good morning. First question back to the 200,000 square feet of GLA that you are looking to recapture, are you anticipating any downtime associated with this re-tenanting that may act as a drag on core growth and would you anticipate that the incremental NOI comes on line in 2016 or would it be more in for 2017?
Michael Haines: Well, every deal is a little bit different, but we have made significant efforts to minimize any downtime. We might have gained the termination right, but the tenant has agreed to stay operating for six months while the new tenants in for permit [ph]. So we’ve done the best we can to minimize the downtime. It’s also mitigated by the fact that a lot of these rents replacing are still low that the impact is very minimal when we are down and there will be a fairly large pop when the rent comes in, but to the other part of your question, yes, we expect most of this to come online in ‘16.
Todd Thomas: Okay, but in terms of the downtime overall, I mean it sounds like I think Stuart based on your comments earlier that you are expecting same-store NOI growth to remain comfortably above 4% for the back half of the year, so there shouldn’t be much volatility associated with the downtime overall?
Stuart Tanz: Yes.
Todd Thomas: Okay and then Stuart, you mentioned that while vendors are still holding to more conservative underwriting parameters that sellers are now looking to transact based on 2016 income and get paid for some leasing that’s really even on the come, does that represent that change over the last few months as the markets become more aggressive recently and that buyers are generally paying these prices whereas they were not previously?
Stuart Tanz: I mean we see this in the widely marketed transactions and we don’t really participate in the widely marketed transactions. So I’m really giving you a footprint of what I see out there on a lot of deals that are being done through the brokerage community. I don’t know whether I would say it’s any different than what we’ve seen in the past during markets like we’re experiencing today. This is not new to buyers. I mean we saw this in ‘05 and ‘06. We saw it in other cycles as well. So I think that buyers are very disciplined in the way they look at and underwrite this, I think that they approach this and they look at the half rate that they are paying and they take that into consideration as it relates to that spread or that value. So although it’s certainly out there today, I don’t think it really has a meaningful impact in terms of how people are valuing real estate, because I think at the end of the day, most buyers are looking at what my income is today when they close and what it might look like a year, two years, three years and five years out as it relates to the rollover, are the increased in cash flow? So I don’t really think it has that much impact.
Todd Thomas: Okay. And then just last question in terms of the capital markets activity and permanently financing line, I know you would prefer not to issue equity, but you mentioned that there is one disposition on the table that might generate around $15 million of proceeds. It seems like you will need to reload the balance sheet by year end more than just maybe issuing some equity under the ATM. I mean is it possible to sidestep the equity market altogether? Or is that part of the plan in the second half of the year?
Stuart Tanz: Well, I mean from a disposition standpoint, we talked about one that we are moving on right now. There is a couple of that management has in mind, noncore related or it doesn’t have any internal growth over the next several years that is behind the one that we’re thinking about. So that activity actually may be more than just a 15 million by the time we get towards year end. Mike, I don’t know if you want to comment on.
Michael Haines: Yeah, and that’s just one source of the equity financing. Like I said earlier in the prepared remarks, we are currently exploring several different financing strategies on the data and equity side, just to finance our business plan.
Todd Thomas: Okay, thank you.
Stuart Tanz: Thank you.
Operator: And our next question comes from R. J. Milligan of Robert W. Baird. Your line is open, R. J.
R. J. Milligan: Hey, guys.
Stuart Tanz: Good morning, R. J.
R. J. Milligan: Good morning. A couple of follow-up questions, Rich, I wanted to know what’s the timing for that 5.5 million that’s expected to come on line? How should we think about modeling that? The gap between -
Stuart Tanz: It could be clear, is this the internal growth or is this the leasing initiative?
R. J. Milligan: This is the gap in occupancy.
Michael Haines: Yeah, I mean, we expect to - as we said in the prepared remarks, the 2 million came online in the third quarter really going to be - or the same quarter rather, it’s really going to be the third plus, another significant chunk will be coming in the third quarter. But as you saw, we also added to it and what we can do to the anchor repositioning initiatives here, we’ll be adding to that number, but we expect to continue to be having that hitting the numbers every quarter going forward, but it will probably never be zero.
R. J. Milligan: Right, do you anticipate that at least the bulk of that will be in the next couple of quarters?
Michael Haines: Yes.
R. J. Milligan: Okay. And then Stuart, could you spend a little bit of time talking about underwriting for acquisitions that you made maybe in ‘14 or in ‘13 and obviously you look to increase the yield overtime and sort of backward looking, can you talk about where the yields have gone and whether or not they have underperformed or outperformed expectations?
Stuart Tanz: Sure. Yields have ended up being better for us because the fundamentals of the West Coast have gotten better a lot quicker than what we had anticipated. We are very conservative in our underwriting, extremely conservative and again a lot of the transactions that we buy through our management platform, we can lift those yields by 75 to 100 basis points typically within 12 to 24 months. Those yields have actually come in a lot better. And it’s the hard work in terms of the many people at ROIC along with the fundamentals of the market. I mean the West Coast is the sought after market today and because there has been no supply in this market for the last five years, it has really had a huge impact in terms of demand as it relates to lease rates and we’ve seen lease rates rise since ‘14 or ‘13 at a much higher pace than what we underwrote at. So all in all to answer your question, these assets are certainly yielding above our expectations and more importantly it’s a combination of the hard work on the ground in terms of our people as well as the strength of the market.
R. J. Milligan: So today we’re seeing some assets trade with the four handle in front of them in San Francisco. I’m curious do you think those are reasonable cap rates given the fact that we are still not seeing any new supply and that the growth expectations are there to justify those low cap rates? Or would you say that we’re getting overheated on the West Coast?
Stuart Tanz: I’d say they’re reasonable today because the growth projection - the growth for these tenants is much higher than what anyone had anticipated a year ago. Certainly what we’re seeing on the ground in the Bay Area, Rich, I don’t know if you want to add to that, but I think that’s pretty good value today. And we’re starting to see trees around the Bay Area right now. Just so you know there is some transactions that are beginning to take hold under force. So it’s amazing to see - and again the Bay Area is one of the most - it’s one of the strongest markets of the country in terms of demand, but certainly the trend is rent growth as it relates to that market and we’re seeing it in our properties.
R. J. Milligan: Okay, great, thanks guys.
Stuart Tanz: Thank you.
Operator: And our last question comes from Jay Carlington of Green Street Advisors. Your line is open, Jay.
Stuart Tanz: Good morning, Jay.
Jay Carlington: Good morning, Stuart. So a little unclear, was there an update to your acquisition guidance? Or we’re still at 300 million for the year?
Stuart Tanz: Well, taking into consideration that we are looking to dispose of a couple of assets, we are right now keeping our guidance at 300 million. Will we surpass that given the pipeline? I can’t give you any specifics here right now on this call. But the pipeline does look strong and we’re heading for another very strong year on the external growth side. That’s all I can tell you.
Jay Carlington: Right and that’s a net number, right?
Stuart Tanz: That is a net number, correct.
Jay Carlington: Okay and Mike on the share count reduction, I’m trying to figure out how much is related to timing versus I guess the shift in refinancing priorities. I’m just having difficulty parsing that out?
Michael Haines: That purely is a function of timing. Our internal model kind of contemplated equity throughout the year, partly from the ATM and other sources, but the acquisition space wasn’t evenly ratable through the year and our timing, our financing accordingly and so the equity in our model has been pushed out to the second half of the year, which is why you are seeing a reduction in the share count.
Jay Carlington: Okay and then, Stuart, maybe a big picture question, where do you stand today with respect to kind of your leasing structure? I guess do you appropriately staff the portfolio that’s grown in multiples last few years? And I guess at what point do you need to make incremental investments there?
Stuart Tanz: Well, we are approaching 98% occupied. We’ve got a very dedicated staff. In some cases, some of these leasing directors have been with us close to 17, 18 years. I believe we are staffed very well at this point for our growth. I don’t think we are going to need to add more leasing staff as we continue to add to the portfolio and we are so well leased. Really the focus right now is on the offense as Rich has articulated and I have articulated. So going forward we definitely have the capacity to keep growing the company without having to incur a lot more overhead on that on the leasing front.
Jay Carlington: Okay, great. That’s all I had. Thanks guys.
Stuart Tanz: Thank you.
Michael Haines: Thank you.
Operator: And I’m showing no further questions from the phone line. I’d now like to turn the call back over to management.
Stuart Tanz: Well, in closing I would like to thank all of you for joining us today. If you have any additional questions, please contact Mike, Rich or me directly or else you can find additional information in the company’s quarterly supplemental package which is posted on our website. Thanks again and have a great day everyone.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation and have a wonderful day.